Operator: Good day, everyone, and thank you for standing by. Welcome to the Q3 2024 Berry Global Group, Inc. Earnings Conference Call. At this time, all participants are in a listen-only mode. After this speakers’ presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. I will hand the call over to Dustin Stilwell with Berry Group. Please go ahead.
Dustin Stilwell: Thank you, operator, and thank you, everyone, for joining Berry's third fiscal quarter 2024 earnings call. Joining me this morning, I have Berry's Chief Executive Officer, Kevin Kwilinski and Berry's Chief Financial Officer, Mark Miles. Following our comments today, we will have a question-and-answer session. In order to allow everyone, the opportunity to participate, we do ask that you limit yourself to one question with a brief follow-up, and then fall back into the queue for any additional questions. A few things to note before handing the call over. On our website at berryglobal.com, you can find today's press release and earnings call presentation under our Investor Relations section. As referenced on Slide 2 and 3, during this call, we will be discussing certain non-GAAP financial measures. These measures are reconciled to the most directly comparable GAAP financial measures in our earnings press release and presentation, which were made public earlier this morning. Additionally, we will make forward-looking statements that are subject to risks and uncertainties. Actual results or outcomes may differ materially from those that may be expressed or implied in our forward-looking statements. Some factors that could cause the results or outcomes to differ are in the Company's latest 10-K, other SEC filings and our news release. I will now turn the call over to Berry's CEO, Kevin Kwilinski.
Kevin Kwilinski: Thank you, Dustin, and thank you to everyone for joining us today to discuss Berry's third quarter results for fiscal 2024. Our team delivered 2% organic volume growth and strong financial performance during the quarter. Our results were consistent with our expectations, and we made substantial progress toward our long-term strategic objectives and delivering on our multiyear cost improvement initiatives. We delivered third quarter adjusted EPS and operating EBITDA growth of 16% and 6%, respectively, over the prior year quarter, with volume growth and strong operational performance driving our results as our team remains focused on managing the items that are within our control. Our proactive measures around repositioning our portfolio to higher growth markets and reducing our cost structure have allowed us to outperform in a weaker-than-normal macro demand environment. We continue to be confident in our outlook, bolstered by our steady sequential improvement and the fact that our customers are communicating their focus on driving growth over price, including increased promotional activity. As a result, we are confirming our fiscal 2024 guidance within our previously announced ranges for adjusted EPS and free cash and expect our fourth fiscal quarter to deliver low single-digit volume growth aligned with our long-term targets. As part of our ongoing commitment to maintaining a strong and stable balance sheet, we remain committed to achieving a year-end leverage of 3.5x or lower by the end of fiscal '24. Including our September quarter expected cash flow generation of $1 billion and anticipated portfolio optimization proceeds, we expect to deliver over $3 billion of cash over the next four quarters. Specifically, we believe cash proceeds could exceed $2 billion from strategic divestitures alone within the next year. This includes approximately $1 billion from the already announced proposed spin-off merger and another $1 billion from future portfolio optimization opportunities within fiscal 2025. With respect to portfolio optimization, we continue to make progress. Not only will these divestitures accelerate deleveraging, they will push us toward our goal of increasing our consumer products focus from over 70% to over 80% of volume. The Berry HH&S and Glatfelter transaction is still expected to close before the end of the calendar year and is subject to approval by Glatfelter shareholders and completion of customary closing conditions. Our teams continue to work on integration activities, and we remain optimistic about substantial upside potential in our base synergy case. We made great progress during the quarter on furthering our continuous improvement-focused culture. We stood up our first lean transformation site at our health care-focused facility in Franklin, Indiana. I had the opportunity to visit Franklin again a few days ago, and I'm very excited and encouraged by the level of engagement by our associates and leadership there. The focus in this facility has shifted from how do we win the month to how do we win the hour and this shift brings in a whole new level of urgency for results. We have begun hosting visits from other business units to see what is being built in Franklin so that they can begin replicating our business operating model in other areas of the Company. We have also begun to recruit additional lean leaders to support and scale a faster implementation path across the business. We are also seeing substantial improvements in how we deliver quality and service to our customers. Our capability to identify root causes and quickly applied corrective actions has increased and accelerated. The result is improved product and service differentiation that is allowing us the opportunity for faster organic growth. Faster organic growth is also being enabled by our efforts to improve the capability of our commercial excellence process. During the quarter, we began the second phase of our pilot in Consumer Products North America, where we are building a world-class conversion engine to produce the right innovation, deliver that innovation to the best target pipeline and convert that pipeline at world-class rates of conversion. As with lean, this pilot is serving as a center of excellence from which we will replicate the new processes across the other Berry business units. Now, I will turn the call over to Mark, who will review Berry's financial results. Mark?
Mark Miles: Thank you, Kevin. Turning now to our financial results highlights on Slide 8. As Kevin pointed out, our quarterly results for both revenue and earnings aligned with our expectations. Our global teams have persistently worked towards optimizing our manufacturing footprint, enhancing our customer experience and improved product mix across our businesses. We've made considerable strides in consolidating our higher-cost assets and as volumes continue to recover, we anticipate an incremental earnings benefit from more efficient assets. These strategic actions and our focused approach are effectively countering the challenges posed by softer global market demand due to inflation. For the quarter, adjusted earnings per share saw a 16% increase amounting to $2.18 per share. Operating EBITDA also increased to $546 million a 6% increase compared to the previous year. In line with our expectations, volumes increased, delivering 2% year-over-year growth with all four operating segments delivering organic volume growth. I would like to refer everyone to Slide 9 for our quarterly performance by each of our four operating segments. The segment review will focus on the year-over-year changes for fiscal Q3. Starting with our Consumer Packaging International division, revenue was down 5% from the pass-through of polymer costs, partially offset by organic volume growth of 1%. Our industrial and personal care markets improved compared to the prior year, while food service markets were weaker. We continue to execute our strategy to drive improved product mix to higher-value products. Operating EBITDA was up 5% compared to the prior year quarter, driven by our structural cost reduction initiatives, lower energy costs in certain European regions and positive organic volume growth. We also continue to invest and expect improved product mix by utilizing our sustainability leadership and increasing our presence in health care packaging, pharmaceutical devices and dispensing systems. On Slide 10, revenue in our Consumer Packaging North America division increased by 3%, primarily driven by 2% organic volume growth. This growth was broad-based across many markets, including food, beverage, personal care, home care and industrial. Our Foodservice business saw a modest decline against a strong prior year quarter. Our teams have successfully mitigated a weaker demand environment driven by inflation through share gains. Notably, we've witnessed numerous substrate conversions from paper, phone, glass and metal, to plastics. Our ongoing efforts include integrating more circular materials, offering sustainable solutions and enhancing the end consumer experience. Operating EBITDA showed strong performance, increasing by 10% compared to the prior year quarter. This growth was primarily attributed to our cost reduction efforts focus on higher-value products, timing of polymer pass-throughs and a 2% organic volume increase. And on Slide 11, revenue in our Flexibles division declined 2% due to lower selling prices, partially offset by a 2% organic volume increase. primarily in our consumer categories and European film products. While our industrial markets experienced modest headwinds when compared to the prior year, we continue to see recovery as overall volumes increased over Q2. Operating EBITDA for the quarter increased by 2% compared to the prior year quarter, driven by positive volume growth and structural cost reduction initiatives partially offset by unfavorable mix. On Slide 12, revenue in our Health, Hygiene & Specialties division remained flat compared to the prior year. This result was driven by a 2% organic volume increase, which was offset by lower selling prices from polymer pass-throughs. Notably, we observed strong volume growth in our surgical suite hard surface disinfecting wipes and adult incontinence markets. Encouragingly, overall volumes have shown sequential improvement over the past four quarters. Additionally, operating EBITDA for the quarter increased by 5% compared to the prior year quarter, fueled by volume growth and our ongoing structural cost reduction initiatives. The HH&S segment delivered solid volume and earnings growth during the quarter, while at the same time, continuing integration activities of the previously announced spin merge transaction, including the creation of the Magnera brand. Magnera will be a global leader in the specialty materials industry with the broadest global product offering in high-growth markets for both polymer and fiber-based product applications. Our consistent cash flows have allowed us the ability to deliver substantial returns to our shareholders, a testament to our company's core strength and value. This financial fiscal strength and stability enables us to channel investments into our businesses to drive organic volume growth, boost efficiency and concurrently distribute capital to our shareholders. As shown on Slide 13, our unwavering capital allocation strategy is rooted in returns and captures ongoing investments in growing markets, strategic portfolio management, debt repayment share buyback in the growing quarterly cash dividend. As Kevin mentioned, we expect to deliver over $1 billion in free cash flow in our fiscal fourth quarter. Additionally, we foresee generating proceeds exceeding $2 billion within the next year, inclusive of our proposed spin merger transaction with cloud filter that we previously announced. These divestitures align seamlessly with our long-term strategy, which aims to streamline the portfolio, bolster earnings stability and augment long-term growth. Capitalizing on our robust and reliable cash flows, we have strengthened our solid balance sheet with a focus on driving long-term value for our shareholders. We project to be within our targeted leverage range by the close of fiscal 2024. We believe we are well positioned for continued value creation. Our strong cash flows have allowed us the flexibility to drive returns for our shareholders. As demonstrated on Slide 14, Berry has reduced net debt by more than $3 billion since mid-2019, along with more than $1.5 billion returned to shareholders through both share repurchases and dividends in fiscal 2022 and 2023. By the end of fiscal 2024, we expect that we will have returned an impressive $5.4 billion of cumulative net debt reduction and capital return since fiscal 2020. As you can see on Slide 15, Berry's track record of delivering top-tier results across various key financial metrics, including revenue, earnings and free cash flow underscores our consistent growth a testament to the effective implementation of our strategies. We remain committed to enhancing long-term value for our stakeholders by maintaining a reliable and balanced portfolio. This consistency has withstood numerous economic cycles and since our last notable acquisition of RPC in 2019, we have generated free cash flow annually, ranging from $850 million to $1 billion. Furthermore, from an earnings standpoint, our annual adjusted EPS CAGR of over 20% from 2015 to 2023 significantly surpasses the peer adjusted EPS CAGR of 8%. This achievement further solidifies our leading position in the industry. This concludes my financial review, and now I'll turn it back to Kevin.
Kevin Kwilinski: Thank you, Mark. Our fiscal '24 guidance and assumptions outlined on Slide 16 reflect a solid three-quarter performance. We are now targeting $7.60 earnings per share for fiscal 2024. This EPS target assumes operating EBITDA of nearly $2.1 billion. Specifically, fiscal Q4 assumes EBITDA of $560 million or a 2.5% increase over the prior year quarter and low single-digit volume growth. We continue to expect free cash flow in the range of $800 million to $900 million. Furthermore, and in line with our focus on driving long-term shareholder value, we expect to prioritize repayment of debt to meet our leverage target commitment, along with further share repurchases. We continue to believe our shares are undervalued and our repurchases reflect our confidence in the outlook of our business and long-term strategy. As you can see on Slide 17, you will observe that Berry has a track record of meeting and often surpassing our objectives. Our long-term objectives underscore the reliability and steadiness of our model targeting an EBITDA growth of 4% to 6% and adjusted EPS growth of 7% to 12% and a total shareholder return of 10% to 15%. We foresee our dividend growing year-on-year, and we're on track to reach our recently reduced long-term leverage target by the close of fiscal 2024. To summarize, our strategic objectives are unchanged, optimize the portfolio, apply lean transformation and expedite growth through top-tier commercial excellence with a clear trajectory to attain a low 3s leverage in the next 12 to 15 months, a lean transformation pipeline that enables a 2% to 3% annual reduction in conversion costs and the capacity to achieve organic growth of 2% to 3% per year, we anticipate delivering performance above that of our peers. Our positive outlook for the next several quarters is fueled by several elements, including the ongoing mitigation of inflation and a resurgence of more standard levels of customer promotional activity. Lastly, we have acted on areas to enhance our valuation multiple. We have fortified our robust balance sheet, reduced our targeted leverage range and returned significant cash to shareholders. And as we persist in showcasing sales volumes at or above the peer average, we are confident that we will persistently narrow the valuation gap to our peer group, thereby offering a compelling investment opportunity. Thank you for your time and interest in Berry. And with that, Mark and I are happy to address any questions which you may have. Operator?
Operator: [Operator Instructions] One moment for our first question. And it comes from the line of Josh Spector with UBS. Please proceed.
Sahas Apte: Actually, this is Sahas speaking on behalf of Josh. So well, in terms of our interest expense guidance in the fourth quarter, it looks much higher than the average past the three quarters. So, any color on that?
Mark Miles: Yes, sure. This is Mark. The incremental increase in interest expense is primarily driven by some non-cash interest income, if you will, that falls off or did fall off in Q3. And that was always projected in our outlook for fiscal '24.
Sahas Apte: Okay. Got it. And in terms of our -- I mean, so they take out the carbon market share trends. And we mentioned before that we are gaining market share. So, any color on the current trend?
Mark Miles: The question was about volume trends in general or anything specific?
Sahas Apte: Sorry for the takeout of the comp.
Mark Miles: Sorry, you broke up a little bit.
Sahas Apte: Sorry, we take it out of comp.
Mark Miles: Takeout comps. So, there were some -- as you probably saw in many of our customer reports, foot traffic has been a little weaker than expected, driven by predominantly inflation. So, as a result of that, you've seen many of our customers increase promotional activity here recently, and we are starting to see the benefit of that in our volumes here in the short term. And we expect those customers to continue to focus on growing their business. So, we're optimistic about the outlook going forward. Yes. I would say we've, in the last few weeks, seen a notable improvement.
Operator: Our next question comes from the line of Philip Ng with Jefferies. Please proceed.
Philip Ng: I guess on that note, a lot of the QSRs and even the CPG guys have talked about consumer being weaker inflation and all that. So, my question is, have you already felt the pain and seen it in your numbers? Pretty encouragingly here that you're seeing some uptick here. So, I guess, predicated in your guidance for the fourth quarter, that low single-digit volume growth, are you assuming things kind of pick up from here because of the promos already? And what do you have kind of supporting that low single-digit growth is just easier comp. Just give us a little more context what you're seeing.
Kevin Kwilinski: Yes. That is really and has been all year, our view is that we would just have improved comps. We expected the second half to not continue to see any deterioration but to show some very modest improvement but still to be kind of down from where they historically would have been. And that's really what we're seeing. So, our fourth quarter projection is it's not dependent on any market improvement. If there is market improvement, I would say that would give us some upside. But it's really just what we see happening now translating versus what we saw in the fourth quarter of last year.
Philip Ng: And what have you seen, Kevin, I guess, in the month of July so far?
Kevin Kwilinski: We're having a good month. It's positive and encouraging.
Philip Ng: Okay. And then can you give us an update on the process of the potential divestitures just given the $3 billion of cash you highlighted coming in and then just help us contextualize given the EBITDA profile might be -- it will be different post the spin. How do you kind of see leverage shaping up by the end of 2025? Could you kind of actually get below 3x? Just give us some color there. And with your balance sheet in that leverage target ratio by the end of 2024? How are you prioritizing capital deployment? You talked about maybe buying back more stock. Give us a little more context in terms of capital deployment, M&A, buybacks and debt pay down from here?
Kevin Kwilinski: Sure. Yes, we're committed to getting to that 3.5 or lower this year. I would expect in '25 with our divestiture plan and the cash flows that we see coming, we should be in the very low 3s. I mean, possibly, you could hit the high 2s, but I would say, safely in the very low 3s. And I think we're very focused on the value of our stock being below what it should be. So, we continue to see share buyback as a meaningful value for our shareholders. Of course, we're always looking at bolt-on acquisitions that are highly accretive. So, we would balance that with what opportunities we see to transpire in the market.
Operator: Our next question comes from the line of George Staphos with Bank of America Securities. Please proceed.
George Staphos: My two questions. I want to talk about the two pipelines that you talked about. First of all, can you talk about how the pilot at Franklin has evolved and what you've learned? You gave us a little bit of detail. Would like to get maybe some quantification there relative to what it can mean for the broader business over time in terms of improved efficiency and margin and the like. Second question, you talked about the innovation pipeline that you're developing. We'd like a little bit of color, a little bit more on that. And in particular, with customers now beginning to promote more, especially at the foodservice side, what are they asking from you now in terms of promotion -- excuse me, in terms of innovation, right? So, if they're dropping price and trying to come to the customer with a reason for them to sort of show up through their doors, how is the packaging? How is your product helping that occur? And what's new beyond kind of the clear cup from a couple of years ago?
Kevin Kwilinski: Sure. Yes. I'll start with the second one, first, the innovation and growth. I'm extremely encouraged by the progress that we've seen in a very short period of time. In our CPNA business, we are tracking $75 million of wins ahead of where we were at the same point last year. And we see really strong momentum developing there. Of course, a piece of that business is, in fact, foodservice. And where we really differentiate and help drive success in these promotions is in two ways. We have an excellent sustainable solution in a very clear product that the consumer has shown in multiple tests to have a high preference for which is why we continue to win share in that space. And we have the ability to service customers with rapidly changing demand requirements in a very consistent way. And they rely on us to be able to move with them when they start to promote and they want to go quickly. We have the ability to go quickly in a way that our -- most of our competitors just can't match. And then in the first area, lean, we focused on Franklin because it was a ripe environment in a very meaningful growth area for our business in health care and one where we knew by driving productivity, we could immediately impact sales. Since we began the effort, we have seen north of 20% improvement in throughput. And it's really coming from a couple of key areas. One is the daily management processes that have gone out to really drive hour-by-hour focus at the shop floor level, to quickly raise areas of opportunity to drive improvement, fixed issues with machines, with how we schedule with the supply chain side of the business, and quickly respond and remove those bottlenecks. We think that, that process will have dramatic impact across all of our facilities, which we have around 200 facilities post HH&S divestiture, and very few of them have that sort of daily management process in place today. The second big lever we are finding is in the area of total predictive maintenance, preventive maintenance and predictive maintenance in general. We have -- we're asset intensive in terms of conversion, and we need to make sure that those assets are running at a very high uptime, our OEEs have room to improve, and we have seen substantial improvement in those OEEs through a focus on that predictive maintenance and being ahead of the game and avoiding breakdowns. That is another area we are building out as part of this lean transformation, which will ultimately help us to be more capital efficient to achieve the same growth levels. And as we grow faster than we have historically, we should be able to do that without having to raise our overall capital requirements.
George Staphos: Kevin, is it too soon to say what the raising of the OEE could mean in terms of your earnings, thanks -- sort of come back to those kind of a hanging questions?
Kevin Kwilinski: Yes. We-- I mean we're building into our '25 outlook, what we think it can mean in but we're definitely targeting this 2% to 3% continual conversion cost improvement, and we see no reason why we can't continue to focus on that as the goal. Sure.
Operator: Our next question comes from the line of Mike Roxland with Truth Securities. Please proceed.
Mike Roxland: Just one quickly on the EBITDA guidance. It seems like you lowered EBITDA to $2.06 billion from the prior range of $2.05 billion to $2.15 billion despite better volumes and positive price cost. So, I just want to get a sense for you of what's driving this lower EBITDA outlook? And also, can you just give us some color on how you expect to generate $1 billion in free cash flow in fiscal 4Q as you're negative about $176 million on a year-to-date basis?
Kevin Kwilinski: Yes. So, the first part on EBITDA, we did not lower our EBITDA guidance. We are coming in, in the range that we talked about. We just are reporting in the third quarter. We have one quarter left. So, we're being more specific in where we see the final number for the year. What really drives the range for us is, how much resin inflation we see in our timing on recovery of that, and that is by far and away the biggest impact in bringing us to the outcome of the range where we are. We have seen supply side constraints in -- around the world with areas that you will know in terms of transportation, getting through the Suez -- sorry, yes, the Suez and the Red Sea. We also have outages in North America that have affected the markets to move price higher. So that just puts us a bit behind in terms of the timing of recovery of that. It's not a long-term issue. When we look at the actual results of the business, our margins are better than we would have expected, and we see really strong momentum and performance on cost. So, when I look at our EBITDA performance, I'm actually very encouraged by it and very happy with the results. I would say the other -- the final thing I would focus on is I've come in as a new CEO, and I have certainly caused a level of disruption. And I'm doing that with a focus on driving the ultimate long-term rate of improvement in EBITDA, even though there are some short-term impacts from that activity. So, I think all in all, I am very positive about where our EBITDA has developed and what it means momentum going into '25 and beyond. And then on the cash side, we just have so many moving parts with divestitures. We still see the opportunity to manage our cash, short-term working capital and still come in within our range.
Mark Miles: Yes. Just to add on the cash point, our outlook for Q4 is actually below what we've achieved the last two years on average. So very achievable, and this is normal in terms of the cash flows on a quarterly basis.
Mike Roxland: Got it. And just one quick question on Flexibles. You mentioned persistent weakness in North American transportation and shrink come, I believe. Previously, I think you said the same thing this quarter. Any initiatives underway to drive better performance from that sector? And if you could just share some provide some color around what you're doing to try to improve that? Or if not, what your considerations for possible divestiture or something else? Any color you can provide would be helpful.
Kevin Kwilinski: Yes. I mean really, our North American business in those areas has been really strong. I would say we're outperforming the market. We have shifted such a large portion of our volume to value-added, higher level of engineered product that allows customers to use less product because the performance is there through light-weighting and material science. And we are continuing to win share in that area at margins that we really like. I would say what you mentioned, I think, is really more limited some of what we've seen in Europe, and it's just a slower recovery in Europe. But ultimately, we do see recovery happening in Europe. It's just happening at a slower rate.
Operator: Our next question comes from the line of Ghansham Panjabi with Baird. Please proceed.
Ghansham Panjabi: Your volumes are obviously up a little bit year-over-year, but we're still at a very low threshold as most of your peers in the industry, just given the challenges with consumer affordability that seems to be spreading, et cetera. How is that dynamic starting to impact competitive activity as you see it at this point in context of some of your peers calling out price competition in areas such as food service, for example.
Kevin Kwilinski: Yes. I mean we have -- we certainly are seeing higher levels of competition. We are offering a product offering, specifically in foodservice, it is quite superior. And we see really the ability to maintain margins there. We are continuing to win share in that space without sacrificing our margins in the space. And I think we will continue to be able to do that going forward. In general, we -- I think our growth was good to see. It was what we expected, but seeing that validated was positive. I think when we look at the negatives that some of our peers experienced in prior years and periods, we didn't go to the same level of negative. So, what we're seeing they're flashing maybe a couple of numbers that are a little higher, but they're coming off of a much worse performance, and we were much more consistent through the cycle. And I think we've really set up the business well for consistency. And as we continue to refine this portfolio, we will just become more consistent going forward.
Mark Miles: Yes, I think as you may recall, Ghansham, we moved pretty early in fiscal '23 to right-size our footprint and remove our higher-cost assets. Our peers did the same. I think many of them were a little slower to respond. But I think much of that higher cost capacity has been taken out of the network across many of our product categories.
Ghansham Panjabi: Okay. Got it. And then in terms of Europe, any update you can share in terms of the obvious questions on substrate shifts to wafer plastics into paper, et cetera. Have you seen any shift in that dynamic? And how does the European consumer just more broadly feel at this point in terms of core spending, et cetera.
Kevin Kwilinski: Sure. The number one metric in Europe that is extremely encouraging to me is our growth has moved from 5% to 7%. So, kind of our growth top line wins rate and we seem to be picking up momentum with products that are really differentiated, especially multicomponent products in dispensing and deodorant in these sorts of categories, we are having a lot of success, and we see momentum building. And that's really from very sustainable mono-material light-weighted products that are better than the competitive offering. I would say the one area where there has been a shift in terms of substrate is in drink cups. And in Europe, drink cups are really paper-based. And we see, because of the regulation, a shift to reusable plastic cups, and we are participating in that plastic cup space. So, for us, it's a net positive driver of growth on a forward basis. The other thing that is causing us to have some superior growth in Europe is also related to regulation. It's the tethered cap. So, on bottles, there's -- regulation requires the cap to be fixed to the bottle for better recycling. And we have a superior product, and we are winning with the big players there. And that is a net positive -- an increasing driver of growth for us in Europe. The consumer obviously is, I would say, behind what we see in terms of the U.S. in terms of recovery. but we are seeing recovery. We've seen stabilization. And really, in the quarter, we saw our first positive growth.
Operator: Our next question comes from the line of Arun Viswanathan with RBC Capital Markets. Please proceed.
Arun Viswanathan: I guess it's encouraging to see the 1% to 2% or low single-digit volume growth in fiscal Q3. I guess, how do you see that kind of evolving as you move into fiscal Q4 and 2025 for each of the different segments. I guess you do -- would you maintain that rate? And maybe if you can discuss if there's any specific drivers as far as new business wins or if it's mainly just market-based recovery.
Kevin Kwilinski: Sure. I think we would -- we expect similar low single-digit growth in the fourth quarter, and we would expect to be -- have accelerating growth in 25 based on our performance in those markets, not due to recovery of the markets. If we see recovery of the markets really happening in '25, that should be additional upside to our current outlook.
Arun Viswanathan: And then when we think about that in the context of maybe some of the planned divestitures, do you expect EBITDA growth next year? Or how should we think about the earnings power of the business? Is there any other cost reductions and operating leverage kind of drivers that you would have to lever that low single-digit growth maybe to mid-singles? Or how should we think about that?
Kevin Kwilinski: Yes. I mean, we're not giving guidance today on '25, but I expect that we will see EBITDA growth in roughly the way you characterized it.
Mark Miles: Then I would add to that.
Arun Viswanathan: Sorry, I was just going to ask similarly on free cash flow and also in light of some of the divestitures, would you be seeing lower CapEx and maybe some increased free cash flow growth? Or how should we think about that?
Mark Miles: Yes, it's Mark. Yes, I would say we've, again, consistently delivered between $850 million to $1 billion of free cash since the RPC acquisition, obviously, that would have to be adjusted for the spin merge, but there's nothing that free cash flow is an important metric for us, and there's nothing that substance that would change our outlook other than, again, the obvious adjustment you have to make for that spend merge.
Operator: Our next question comes from the line of Adam Samuelson with Goldman Sachs. Please proceed.
Adam Samuelson: Yes. I guess first question is, again, thinking about 2025 at a high level. One, how much of the price cost kind of catch up from the second half of this fiscal year that you haven't fully done that lag. How much -- can you quantify that just in terms of what's carrying into 2025 that we should think about normalizing on else equal?
Mark Miles: Yes, this is Mark. There's kind of two items to that. I guess, one on polymer lag which, again, is just a timing lag that Kevin referenced earlier that is about a headwind of $20 million this year. Again, depending on what polymer does next year, we would typically assume a flat environment, but we'll see as we approved our November call what the -- what happens with polymer and what the outlook is. But our typical assumption would be flat. So that would be a tailwind eliminating that negative lag. And then, I would add our cost reduction program that we increased last quarter does have some incremental benefits that are going to help '25 about $35 million is the number for fiscal '25 incremental benefit from that program.
Adam Samuelson: Okay. That's very helpful, Mark. And so -- and maybe, Kevin, just in response to kind of the prior question, you kind of alluded to accelerating organic volume growth kind of absent any market recoveries or assuming kind of similar market conditions to where we are today, between the kind of cost between those two cost items, kind of incremental productivity and cost actions that you looking at it as you continue to push lean principles through the organization and better volumes. I guess it'd be reasonable to say that as you would look right now, you'd be tracking comfortably ahead of that kind of longer term 4% to 6% EBITDA growth target, is that fair?
Mark Miles: I mean I think that's the long-term trajectory, if we continue to execute at that level. It's really a matter of timing of wins and progress on the pipeline and when that manifests throughout 2025. But we have good momentum going into the year, and I feel positive about us delivering meaningful EBITDA growth.
Adam Samuelson: Okay. All right. That's -- maybe just one more quick one. The change in tax rate for the year, which is really what drove EPS to the midpoint of the range for the full year. Is there anything notable about that? Or should we be thinking about that tax rate reverting back to the historical low 20s rate next year?
Mark Miles: Yes. We've consistently done a good job in that area of beating our target in fiscal '24 is no different. So just really happy with the progress we've made on tax and really, there's nothing more to say other than it's a consistent beat that our tax group has been able to achieve.
Operator: Our next question comes from the line of Matt Roberts with Raymond James. Please proceed.
Matt Roberts: Kevin and Mark, good morning. Thanks for taking the question. On the resin increase you touched on earlier, maybe explicitly, what is the price cost that you're embedding in that 4Q guide and your underlying resin cost assumptions or said differently, if resins move up in the next month, is that incrementally worse versus the current guide? Or are you baking in some further increases from here?
Kevin Kwilinski: Yes, we -- yes, go ahead.
Mark Miles: Yes. We have a modest headwind built in for Q4, and that's based on -- it's not yet settled for the month of July. But the market is projecting potentially an increase. So, we've taken a conservative view on that to the extent it doesn't happen that would be a tailwind. Anything that happened beyond July is really more a fiscal '25 matter than '24 just because of the lag in passing through our inventory.
Kevin Kwilinski: Yes. That's what I was going to say.
Matt Roberts: Perfect. And then maybe on the price side of that equation, what are you embedding there? Is that going to be a drag in 4Q from incremental competitive pressures? Or do you think you're able to pass through price and be positive in 4Q?
Mark Miles: Yes, I think we're offsetting that lag with the cost reduction initiatives that we continue to deploy. And so, net-net, there's a modest favorability as the cost reductions are able to more than offset that lag that I referred to on timing of polymer pass-through.
Operator: Our next question comes from the line of Christopher Parkinson with Wolfe Research. Please proceed.
Christopher Parkinson: The first question is, in terms of the volume growth that you're seeing in the back half of the fiscal year, does appear things are getting better on the margin in a lot of different areas, in personal care and obviously some quick service stuff and obviously, promotivity seems to be picking up. So, when I think about that, it seems that user demand is pretty good. You're also coming off of some destocking of various areas over the last couple of years. Is it possible to parse out how you're thinking about volume growth for not only for the fourth fiscal quarter but into the next fiscal year in terms of what those key drivers are and where there could actually be potential areas of upside? I just wanted to dig into the details there a little bit more.
Kevin Kwilinski: Yes. I mean we're doing that work as we finalize kind of our view for '25. I would say, we see those pluses and minuses playing out around all the and segments we participate in, which are extremely broad and very broad geographies also. Net-net, I would say we see slightly positive market growth for '25 developing. And that's probably the best I would be able to do at this point in time.
Christopher Parkinson: Got it. And just a quick follow-up. In terms of the implied fiscal fourth quarter EBITDA versus your prior expectations, given the fact that volumes do appear to be let say, getting sequentially better, especially in QSRs, is there anything else going on that we should be considering? Is that just conservatism on behalf of management that we should be factoring in, in terms of kind of the trajectory here? Is that -- are there any competitive pressures you're considering just price cost, you already mentioned earlier in the call. Can you just kind of break that out and how we should really be thinking about that as we progress towards the end of the fiscal year?
Kevin Kwilinski: Yes. I would say, our outlook was dependent on low single-digit growth in the second half. And we delivered what we expected, what our outlook was based on, and we don't really see that changing a whole lot between now and the end of our fiscal, which is not 1.5 months off. What I would say is the change -- or what really within the range that we talked about has driven us to the lower side is the resin we discussed. And then we've also done some divestitures. And if you pay to this out, you've got the resin lag as the number one driver. And the second driver, which should be at roughly half the level of impact, if I just round it off is from divestiture. But again, the core business and the strategic business going forward is performing extremely well.
Operator: Our next question comes from the line of Edlain Rodriguez with Mizuho. Please proceed.
Edlain Rodriguez: Kevin, just a follow-up to the volume question. What you're seeing right now? Like how would you characterize it? Like is it will fundamental improvement in demand? Or is it like purely inventory destocking that you see in -- I mean, restocking, sorry.
Kevin Kwilinski: Well, I would say that the destocking has run its course in all meaningful categories for us. And so, there's certainly been some strengthening, but that is really what we anticipated would be the case to drive us to kind of low single-digit second half of the year comps versus negative low single digit in the first half. That -- what that suggests is that the actual demand overall is not greatly improved. And we don't anticipate, in the next 1.5 months, it's going to dramatically change either. I do think there is a reason to be optimistic that '25 could see demand actually beginning to improve in some of these core non-discretionary consumer goods categories that make up a big piece of our business and an ever-growing portion of our business.
Edlain Rodriguez: Okay. And in terms of that $1 billion of potential divestitures you have for next year, like how far along are you in that process? And also, like how are those businesses that you plan on divesting different from the other businesses in the portfolio?
Kevin Kwilinski: Yes. We are in various stages of discussions with a handful of businesses that kind of add up to actually, if all were executed, would be more than the $1 billion. They -- we expect them to be deleveraging, and we -- they, in general, would trade at a similar multiple performance a similar multiple to the overall average of the business. What they do have characteristics of is more industrial exposure and lower overall growth rates than the core business that we're focused on moving forward.
Operator: And our last question is from the line of George Staphos with Bank of America Securities. Please proceed.
George Staphos: More of a strategic question and recognizing it's going to be hard to talk live Mike on something like this. As you think out the next four quarters on the one hand, Berry is working rather diligently to improve its already good cost specially says you would see it through lean and the like, and you're getting some benefits from that. And you're also working in the pipeline. In an environment that maybe is more difficult from a macro standpoint from where your customers are, do you think your growth on a relative basis versus your peers will come more because you can become more aggressive in terms of where you are in the cost curve versus peers? Or do you think it's a -- we are finding that we're much more able to drive new products more quickly and that gets you to volume growth? I recognize it's going to be all the above, but as you think about '25, is it going to be a year where you leverage cost or leverage pipeline to get the growth that you're hoping for?
Kevin Kwilinski: Thank you, George. Yes, by far and away, innovation, the pace of innovation our ability to deliver higher levels of sustainability and more circular products is going to be the number one driver of our ability to win in the markets that we're operating in. When we embark on the lean transformation journey, and I said this several quarters ago when we first began to talk about lean. I wanted to go into lean not as a cost driver, although it very much is a cost driver, but as a way to drive variation out of our business. And the way variation manifests in our business is it ends up causing inconsistencies in how we provide service, on time and full lead times on a day-to-day basis and the quality of the product to our customers day in and day out. And from 30 years in this industry, I have learned the lesson that if you perform consistently on service and quality, you will gain wallet share and you will have much less pressure on price. And I think that is exactly what will play out. So, the second driver of growth will, in fact, be better performance, differentiated service to customers from the lean transformation. And the third, and it's really more of a distant third is the cost advantage that comes from the process of lean and driving out labor and energy and waste and all those things.
Operator: And we have time for one more question. And it comes from the line of Rosemarie Morbelli with Gabelli Funds. Please proceed.
Rosemarie Morbelli: Thank you. Good morning, everyone. I was wondering if I could follow up on that $1 billion of proceeds from upcoming divestitures in 2025, could you share with us more or less the potential impact on your top line and EBITDA line from those businesses going out?
Kevin Kwilinski: Thank you, Rosemarie. I think the revenue of those as a bucket is -- I mean...
Mark Miles: I think half range. Yes, I think you can do the math that Kevin just mentioned about proceeds divided by about our multiple. We'll get the EBITDA impact. And as Kevin pointed out earlier, the margins are slightly lower but not meaningful. So, I think if you do that math, that will give you the -- both the EBITDA and revenue impact depending on the level of proceeds you want to assume. But again, as Kevin said, we've put out a target of $1 billion but our -- the target portfolio list would drive a result better than that if we're able to execute all of them.
Rosemarie Morbelli: And should we assume that all of those potential businesses are small and are split around your different segments?
Kevin Kwilinski: Yes. So, they are -- the target list includes businesses from multiple reporting segments.
Rosemarie Morbelli: That is helpful. And if I may ask one last question. You are working on efficiencies. You are working on eliminating volatility. You have 200 facilities you pointed out. Do you need to handle facilities, should we add facility consolidation as part of your improvement program?
Kevin Kwilinski: Yes. Our cost improvement program certainly is contemplating additional rationalization of facilities. We've completed a number of those this year. We will complete a number of those next year. As lean accelerates, it should give us further opportunities to drive a more efficient footprint.
Operator: And this ends the Q&A session for today. I will turn it back to management for closing remarks.
Kevin Kwilinski: Just thank you to everyone for your interest and participation today. We're very excited about the future of Berry as we close out our fiscal year this quarter that we're in, and we're really encouraged with what we see developing for '25. So, thank you very much.
Operator: And with that, we thank you all for participating in today's conference. You may now disconnect.